Operator: Good afternoon, ladies and gentlemen. Welcome to Research Frontiers Investor Conference Call to discuss Results for 2014. [Operator Instructions] This conference is being recorded today. A replay of this conference call will be available starting at 12 PM on March 13, 2015 in the Investor Relations Section of Research Frontiers website at www.smartglass.com and will be available for replay for the next 90 days. Please note that some of the comments made today may contain forward-looking information. The words expect, anticipate, plans, forecasts and similar expressions are intended to identify forward-looking statements. Statements that are not historical facts are forward-looking statements that are made pursuant to the safe harbor provisions that are part of the Securities Litigation Reform Act of 1995. These statements reflect the company's current beliefs and a number of important factors could cause actual results for future periods to differ materially from those expressed. Significant factors that could cause results to differ from those anticipated are described in our filings with the SEC. Research Frontiers undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. The company will be answering many of the questions that were e-mailed to it prior to this conference call, either in the presentation or as a part of the Q&A session at the end. [Operator Instructions] I would now like to turn the conference over to Joseph Harary, President and Chief Executive Officer of Research Frontiers. Please go ahead, sir.
Joseph Harary: Thanks Andrew, and good afternoon everyone, and thanks for participating in today's conference call. Joining me today is Seth Van Voorhees, is our CFO and also Head of the VariGuard Division. I think that the numbers are well explained in the 10-K and our cash position in our balance sheet excel. So I'll focus today in more detail on what's happening in each industry using our SPD-SmartGlass technology. Seth and I will answer questions either in the course of my presentation or afterwards when we'll have time for some Q&A. Our business strategy has been simple and straightforward from the beginning. SmartGlass whether it's our or others is a premium glass products that is in-turn used in a premium product such as high-end car, aircraft, yacht or home or office. We don't buy cheap materials in a premium product. We focus on quality and performance. We don't go to cheap [indiscernible], in a Rolls Royce or better sit in a Mercedes-Benz. Our approach is similar. We work with the best performing technology, we surround ourselves with the best companies to bring into the market and we show the world how smart their glass can be. And we recreate what is like to operate a smart window across its larger base of people as it’s practically possible. Let them feel control or feel the magic if you will. 2015 marked the year end the most number of people in history who will be able to operate first hand an SPD-Smart Window or in fact the Smart Window of any kinds. This started with tens of thousands of cars that are on the road today that have SPD-SmartGlass in the roof of their Mercedes vehicle. It started with Roadster and now has it has moved to Coupe and Sedan's making the number of cars out there with SPD-SmartGlass higher than ever before with smart variance with even higher unit volumes coming out in the second half of this year. These high volume variance have not yet begun to generate revenues for Research Frontiers. So what you see so far is just the Roadsters, Coupe and the Maybach. Starting seven weeks from now in May, over 25 million people are going to be able to experience SPD-SmartGlass at the Milan World Fair. A roof made with more than 10,000 square feet of SPD-SmartGlass can be operated by visitors to the USA Pavilion there and between now and then in various industries others will experience first stand and up close what this is like. Let's look at what has happened in each industry and where they are going in each of them. We will start with automotive, 70% of our revenues come from the automotive market, so we will start there. In 2011 the first SLK Roadster hit the market with our SPD-SmartGlass technology in the MAGIC SKY CONTROL roof. Take rates for this option were higher than expected and remained steady today. Based upon the success, Mercedes put the MAGIC SKY CONTROL option in the second vehicle, the SL Roadster in 2012. Take rates for this option on this car were far in excess of what Mercedes had expected and MAGIC SKY CONTROL is a strong selling option today. The next year 2013, Mercedes announced at the all important Frankfurt Auto Show that the MAGIC SKY CONTROL option was moving from Roadsters to the more mainstream if I could call any car by Mercedes mainstream Coupe and Sedan. More S-Class variance were announced by Mercedes during 2014 and at September, Daimler and our licensee Asahi or AGC officially announced an AGC with the supplier of the SPD-SmartGlass for the S-Class. AGC sells their SPD-SmartGlass under the trademark WONDERLITE and if you haven’t had a chance to see it yet, they have a great commercial for it which we also have on the Research Frontiers YouTube channel. During the fourth quarter of 2014, Mercedes put the SPD-SmartGlass MAGIC SKY CONTROL roof on their third model which used to be called the CLS and which is now known as the S-Class Coupe, it also goes by the internal Daimler designation C217. While the two roadsters the SLK and the SL use about half a square meter of glass, the S-Class Coupe has the largest single piece of smart glass in the world in a car 1.32 square meters and even though it is three times the size of the SLK or SL roofs, it has the same retail selling price in the United States $2500. The S-Class Coupe had showrooms in the U.S. in the fourth quarter of 2014, MSV is selling very well on this car. Mercedes announced in November that the MAGIC SKY CONTROL would be an option on the fourth model to use our technology, the Mercedes Maybach S600 Sedan whereas they call X222. Mercedes had simultaneous launches of this flagship vehicle in November in China and in the United States, the two biggest markets in the world for the S-Class. The Maybach is an amazing car in terms of luxury and comfort and last month we were driven around in one at Mercedes Benz USA in Montreal, New Jersey. What a car, and what a huge roof too with the total surface area of being about 1.7 square meters across two very large panoramic centers. This car has showrooms in China this month and in the U.S. next month. In last week, a car that will have an even bigger MAGIC SKY CONTROL roof was introduced at the Geneva Auto Show that I attended. The Mercedes-Maybach Pullman stretch limousine, this car was made famous by its owner such as Elvis Presley, John Lennon and many world leaders, it's obviously a very high-end car, but it also has relatively low volumes. Let's talk about the higher volume. Later this year the highest volume S-Class sedan comes out. Based upon the total unit volumes to this car, the V222 this would be the highest unit production volume to come out offering MAGIC SKY CONTROL panoramic SPD-SmartGlass roofs. Also in the automotive market in the area of mass transit and specialty vehicles, the last year and half at SPD-SmartGlass products introduced through use in trains, buses, trucks, RVs, tramps, construction equipment and even cable cars. Now getting back to passengers cars for a moment to answer question we got, we've been asked about other car makers and then we’ll see cars by OEMs beside Mercedes using SPD. I think that the long way for other premium OEMs to reveal what they're doing with our SPD-SmartGlass technology will soon be over. Let's move now to aircraft, aircraft is our second largest market representing about 15% of our royalty income. Over the last 18 months, a self-powered aircraft window Energia was introduced by our licensee Vision Systems as well as an SPD-SmartGlass skylight being standard equipment on a new Falcon 5X from Dassault that comes out in 2017. The new HondaJet, which has SPD Nuance Electronically Dimmable Windows or EDWs from Vision Systems also has standard equipment is expected to get SAA certification any minute now and deliveries to customers will start shortly thereafter. I had the pleasure in January to visit Vision Systems North American factory in Melbourne, Florida and see HondaJet windows being produced on their factory line there, it’s quite an impressive operation we have. In addition to the already announced models, you should hear about others this year as well that should also make a positive accretive addition to our royalty income for 2015. SPD-SmartGlass technology dominated the EDW product market in every major aircraft show and trade event this year and we expect 2015 to be an even better one for RFI both in terms of new aircraft introductions and revenues, as more aircraft come into service that either offer SPD a standard equipment or as an option. We've also seen a trend where SPD is rapidly moving from the passenger cabin to the cockpit as well. In the aircraft market the message is simple, using SPD-Smart EDWs and other products, improves comfort and safety and is also more cost effective than the product it replaces. Let's move now to the other markets, the marine architectural and VariGuard markets represent the same amount of royalties collectively as our aircraft market about 15%. In marine we’re on the Cheoy Lee Alpha 76 Express, the Alpha 76 Flybridge and on the Hatteras 100 foot yacht. I believe that 2015 will show some absolutely stunning new designs on yachts being produced for customers that are only made possible by SPD-SmartGlass. Similarly in the VariGuard art work museum artifact protection market, our VariGuard SPD-SmartGlass panels were used by Smithsonian, Postal Museum, Boston Historical Society and others to protect priceless artifacts and documents. The curators in some of these museums even commented that these items were not have even seen the light of day without the use of our glass. SmartGlass has also participated in various conferences affiliated with Smithsonian to bring the preservation benefits of SPD-SmartGlass, VariGuard panels to avoid audience of museum conservators. Now let's move to something very exciting, what’s happening in the architectural market. Our strategy here is also very straightforward educate people about how smart their glass can be so they understand the performance differences that clearly exists among the different smart glass window technology. Let them experience smart window technology closed in, and you’ll see that we succeeded in both of these missions. In 2013, we added several new licensees in this area and SPD was exhibited at various trade shows and we also launched the new website to better bring the magical experience of operating a smart window to more people. Also for years we've been trying to create a dialogue among the architectural community, architects, designers, facility managers and owners where clear discussions about the performance characteristics of each type of SmartGlass technology was presented. Initially our competitors predicatively declined our invitation note, our challenge to appear in head-to-head comparisons. But awareness of SmartGlass grew and I’d like to think that’s because of our efforts in the automotive and aircrafts industries and the high visibility of our customers in these industries that people began to take notice of SPD-SmartGlass in the other markets. At some point we reached the tipping point and the architectural community started to become aware that SmartGlass is not science section and that meaningful differences do exists in the performance characteristics of different types of SmartGlass technologies. Just like people have different levels of intelligent and abilities, so does SmartGlass technologies and for the first time conferences devoted to the topic of SmartGlass started to emerge around the world. One of the first of these conferences was the Israel Berger IBA SmartGlass conference in March 2013. Although the ground rules for this conference encourage participants to bring full architectural size windows to demonstrate at the conference, we and our licensees were the only ones who did so. Competitor view declined the invitation to participate completely and say it’s only brought a small sample. This is not surprising because as those who follow SmartGlass technologies know electrochromic technology gets dramatically slower as the surface area of the glass panel increases, what we do in two seconds could take 15 to 20 minutes or more for electrochromic windows to switch. We also have a wider range of life transmission, get darker and lighter, have better uniformity of change and add better heated UV blocking characteristics then these other electrochromic glass technologies. In 2014 Research Frontiers added two new licensees in the architectural glass area and we gave the keynote addresses at two SmartGlass conferences in Berlin and in Santa Clara California and also won the best application of energy harvesting award for a commercial product from the IDTechEx conference in Berlin. We also presented our SPD-SmartGlass as the largest glass show in the world, GlassTech which is held every two years in Germany. So awareness has been growing among the more sophisticated audience in the architectural industry for the past two years now, largely as a result of our active efforts to educate architects, designers, home and building owners, and facility managers on how smart their glass can be. This educational and experiential effort is paid off, which brings us to last week's big announcement. SPD-SmartGlass was selected over other SmartGlass technologies to be the exclusive SmartGlass used in the USA Pavilion at this year’s World's Fair in Milan. As many of you know World Fairs are held about every five years since 1861. Many major innovations common place today were first introduced at the World's Fair. For example, the television was introduced at the 1939, New York World's Fair. At the 1893 Chicago World's Fair, early prototypes of the dishwasher and the fluorescent light bulb were introduced. And at the 2015 World's Fair in Milan, the largest SmartGlass roof ever built will be on one of the few rooftop decks in the whole expo. There will be 312 panels each individually controllable and measuring one by three meters each making the total surface area over 10,000 square feet. Last week I attended the announcement ceremony in Milan, which is only a few hour car drives from Geneva auto show were the day before Mercedes launched the Pullman. With me was the CEO of the USA Pavilion, the Architects and Alberto Bertolini, the CEO of our licensee Isoclima, who fabricated the SPD-SmartGlass CromaLite panels for the exhibition. Once shareholder asked me about a statement made in the press release we jointly issued last Wednesday, where the CEO of the USA Pavilion mentioned the day I looked at other technologies but wanted the best and shows SPD-SmartGlass. They originally were looking at electrochromic technology and early interviews of the architect spoke of a Minnesota based supplier. This was obviously SageGlass since for while they were even listed on the USA pavilion's website but it's since been removed. However, as the architect expressed to me the electrochromic product did not get dark enough or switch uniformly or fast enough for what they needed. So they redesigned the USA Pavilion roof for SPD-SmartGlass. I was asked by another shareholder about more specific details about the project and I’m happy to provide them. Hitachi Chemical supplied the SPD-SMART film to the project. We are using Hitachi's dark SPD Film which can block 99.5% of visible light. And if you look at the online version of the press release issued last Wednesday, there is an accompanying video showing one of the SmartGlass panels being installed and tested with the direct sunlight coming through it. I invite everyone to look at this video to see how effective the SPD-SmartGlass CromaLite panels are at blocking glare from the sun. And in the summer, visitors to the Milan Expo are going to find out how effective it is in reducing heat and making them comfortable. The heating and cooling benefits in the low power consumption were also noted in the press release by Jim Biber, the architectures firm one who design competition for the USA Pavilion. Special thanks to Hitachi Chemical for the volume discount provided for this project and their great cooperation throughout. After the film was delivered, Isoclima then eliminated the SPD Film inside these large glass panels with the special design for the USA Pavilion project. Isoclima, which is based only a few hour drive from Milan generously contributed materials, people, time and expertise to these project to make it visible. I think that everyone think USA Pavilion will agree that the glass is beautiful. I hope that you all have the opportunity to see it in Milan. Research Frontiers quoted the work of companies on three time institutive and we also did our patriotic duty to help fund the portion of this project with the USA Pavilion also making a very substantial financial investment throughout the best SmartGlass in the world in the roof of the USA Pavilion. I know that unlike other countries Pavilions at the World's Fair, the U.S. Department of State overseas the USA's participation but does not contribute any taxpayer funding period. It is through private donations and corporate sponsorships that the U.S. is going to Milan. So a special thanks to sponsors General Electric, Microsoft, DuPont, Boeing, 3M and others for their early and substantial commitment. We Research Frontiers and our licensees are in very good company. The World's Fair remains open for six months from May 1 to October 31 and estimated 25 million people are expected to attend. That's an average of over 136,000 people per day that are going to have an opportunity to operate SPD-SmartGlass in the roof of the USA Pavilion. As to that, the tens of thousands of people will drive cars everyday with MAGIC SKY CONTROL on the roof or a travel on planes or yards to visit museum, they now use SPD-SmartGlass and you’ll see that we are beginning to effectively bring the first time experience of what is like to operate SPD-SmartGlass. Millions of people can now see just how smart their glass can be. We received a couple of questions from emails, by email which I’ll address but I didn’t already address in the presentation. We were asked about the Vision Systems Sun Visor basically about a year ago they made an announcement about a product for the automotive market and then recently they announced their Opti-Visor for the aircraft market. As I know you were working with them and advancing the technology that the announcement of the product for airplane signified that you've made progress on the car windshield to go commercially yet, if not are we getting close thanks. Well thanks Craig, for the question. And the answer is yes, the aircraft project and Sun Visor is actually being done at the specific request of a major OEM. So it's being funded specifically for a major aircraft OEM but the development of the product also has great affordability in the automotive market. So basically both are moving together in parallel. I did get a question about the take rates and while we can’t reveal the actual take rates, I did get a question from shareholder what approximately would we expect to see the two models of Mercedes-Benz S-Class automobiles which represent – approximately 50% to 55% of the total annual sales volumes in number of units of the S-Class model vehicle available in dealer showroom for with the MAGIC SKY CONTROL thunder available. Towards the end of this year we are able to buy this in the United States, it may come out before then in another markets and we are very excited about the entire rollout scheduled. There is a related question about should Research Frontiers be profitable by now, when you consider my earlier statement that none of the high volume variance are reflected in our numbers, I think if you just look at the rollout schedule that Mercedes has for these vehicles carry you will see that big buying stuff comes out later in the year. I think I had a question from George Wohanka well reflected in our 10-K that we do not anticipate declaring any cash dividends on our common stock in the foreseeable future get some long term shareholders and management insist it wants to become a lean mean dividend paying machine, that is a pretty accurate quote actually thanks for that and it says future earnings for paying dividends, you intend to pay a substantial part of them to shareholders as dividends. Speaking personally it is a decision for the entire board but many of us are shareholders and we all would love to see dividend being paid to us. So I think the answer is yes when we can we will be paying dividends. We got two questions about the patent infringement case, what is the status and also a question about whether we are involved with mediation charge with mandated by the Federal Court. The status of the infringement case can be found online, we don’t comment on specifics other that was in public docket but you will see from looking at it we are now getting into the heat of the discovery process where information is exchanged back and forth and what we are seeing is very encouraging to us but I am not going to make our case on this conference call what we made in the Delaware Court. There is a procedure in Delaware through all the parties to submit the mediator to see it there is any kind of remediation possible, we have had our initial discussions but that process more and full bloom a little later on. So there is a procedure where we are requested to appear before mediator with the ink and exchange kind of our position with the mediator but if that does not result in meaningful settlement discussions then it goes back to the court. Let’s go now to the next question when we talked about other coordinators the other part of the question is what will Mercedes-Benz with our MAGIC SKY CONTROL and windows variable tinting instead of just black or clear. Right now Mercedes has put this on the roof so they have made it somewhat binary, they wanted just kind of the rock, but when you do get the side window I think the variability feature becomes more meaningful to people and judging from the experience that we have had with the number of vehicles that were produced following by other OEMs besides Mercedes variability seems to be desired on side glass not so much on the roof glass. So the same glass is either replaced it is just a matter of whether you make your controllable, your controller variable or just on off. And then we did get a question about our receivable from Neil and the flexibility of them, everything that is listed on our balance sheet as the receivable collectible in our opinion and these things are timing issues, licensing will accrue royalties as of December 31 as they don’t get invoice spread until they submit their royalty reports. So, that is why sometimes in fee fluctuations and in the royalty receivables. I think we have answered all of the questions that are emailed to us most of them. So Andrew if you would I would like to open the floor for any additional questions that people might have.
Operator: [Operator Instructions] The first question comes from Greg Marsh of Morgan Stanley. Please go ahead.
Greg Marsh: As always you told very, very exciting story.
Joseph Harary: Lot of exciting things to talk about this time as you could tell.
Greg Marsh: Yes. I guess the concern that the shareholders have and myself as a long time shareholder and follower to stock is, we have piled up almost $100 million in losses so far. We have got $1.6 million of revenues last year over the last dozen or so years we have given lot of stock options and stock – officers and directors and the stock price is just languished in single-digit build having them as high as the thirty to one point many, many years ago. How much longer do shareholders have to wait to see a return on their investment and the story is always good, it is exciting, the technology, it is exciting, its got displays of it everywhere, it goes into buildings, planes, trains, automobiles but people want to know when can they expect to see their investment first recover to where they own it and ultimately have a profit, plus we really have one manufacturer of the SPD film in Hitachi if anything goes wrong there where are we?
Joseph Harary: Those are excellent questions Greg, let me address both of them. First when will the stock move, we were in the 2013 during the dotcom era and it didn’t take much to move any stocks. I think correctly though, the market is waiting for one thing and one thing only. Revenues and profits from Research Frontiers and we have laid out I think a very clear rollout schedule for the markets that are getting – are going to get it there and I think you can probably sense from the greater level of specificity that we are able to give this year versus last year versus the year before about for example Mercedes plans or what is happening in the aircraft market and now you are seeing major architects basically take out a different technology and replace it with ours because of the performance. I think it is beginning to validate that we are very much on the right track here in terms of generating those sales. And you know this because you've seen SmartGlass, you have operated it, that is a key part and making people aware of what - how amazing this technology really is and how it is can best be used. The other question was about single source of film supply. We have several companies that are licensed to make film, so far the only company that has announced commercial production has been Hitachi that doesn’t necessarily mean that our other existing licensees are not actively pursuing this, and surprise it to say, I think you know me long enough to know, I am a very conservative guy, we definitely have backup plan. So all I can show them on an open conference call where competitors or even licensees might be listening we do have a plan for that but it is a good question.
Greg Marsh: Part of what you - when you were talking about the World's Fair, some of the things that you mentioned describing the cost and the underwriting of that cost by companies which you think problem being that it’s too expensive architectural type of or just not practical from a financial standpoint, because of the architectural uses?
Joseph Harary: It’s because the USA Pavilion is not funded by any government money the other 139 countries all get funding. So basically the mantra the USA pavilion, you got to be self-sufficient. They've raised money from some of these other companies and they’re paying us for the glass. We're also contributing by subsidizing a bit of it, but we’re getting paid up a substantial amount. Remember its 10,000 square feet of glass. This is bigger - this roof is bigger than a football field.
Greg Marsh: I believe you talk about it going into a building like an office building, commercial building, wouldn’t that be tremendous amount of glass as well?
Joseph Harary: Yes, but as you - I mean it’s a fairly well-known phenomenon that, as your production experience doubles your cost go down by about 20% so that's why almost every new technology. Consider the new technology, because remember the high-volume S-Class even hasn't come out yet. So we’re talking about based solely on the backs of the Roadsters and the Coupe and the Maybach which is not a very high volume car, you still have had fairly dramatic cost reductions in the cost of the technology. Now imagine what would happen when large volume variants of the S-Class come out when more planes come out with it, the standard equipment when the architectural market comes out with this, imagine what happens to cost. So this is a fairly typical path that almost every technology follows and we happened to be blessed and this was actually confirmed pleasantly by few of our competitors at the SmartGlass conference in Santa Clara both Sage and View said, we would kill to have the automotive market that standard sizes and high volumes like Research Frontiers' has would be amazing. So we're - I’d rather be meeting them let me put it that way.
Greg Marsh: All right. Thank you.
Operator: The next question comes from Michael Kay from Kay Associates. Please go ahead.
Michael Kay: It's tremendous that we're going to ask again to showcase as for these and along there. Is it correct - am I correct though so what you say that, there will not be any fee income related to the 10,000 square feet?
Joseph Harary: I didn't say that. I don’t know if it’s going to be accretive, because remember it depends on what the licensees other sales are in the year when the payment is made so but yeah we’re getting paid.
Michael Kay: That's good to hear but maybe you meant that the licensees are contributing free of charge to the Pavilion and is not funded by tax paid?
Joseph Harary: I think if you listen to the replay, you’ll see that I said that USA Pavilion is making a fairly substantial payment for the glass. So we’re all doing our part to make that less of a payment for them, it's CREMA, Hitachi, Research Frontiers roles doing out bit here, but they’re also stepping up to the place, because they really wanted this. And they were very keen. They realized this was a order of magnitude as to put it as the architect did better than what they are considering. So we’re happy to be there, we’re happy to be in front of 25 million people. Lot more cost effective than the super ball ad and I’d like a super ball ad we could actually touch this operate it from a touch screen and really experience what it’s like. One other thing that's got amazing it what they’re doing is they're going to have some pre-program messages and things in the roof because as the architect put it, this is the largest video display in the entire Milan Expo, because if you think that this is a video display with 312 individually addressable pixels, you can do some really incredible stuff. So in addition to the normal light and heat control that the glass is providing in all sets of multi-media aspects as well, it could be very cool and I really invite anyone that can if you’re going to go to a World's Fair, go to this one, this is going to be really, really, really amazing and when I was on the job site last week walking around with the hard heart and work loads, you really get to see the enormity of this building that as Jim Biber said, it has to go up, it has to be able to accommodate 25 million people, it has to be taken down in six months. I mean just think of the engineering and the architectural challenges. And the other thing that I think is really nice is CREMA should get away from what it calls the closed box look of most World's Fair Pavilion. They are enclosed structures with a lot of video streams and you walk around a treadmill or a pathway and then you walkout similar to like, what Disney World is to be like, years and years ago in the 70s. You just try to get away from that and has a much more open environment and SmartGlass works perfectly for that because what better way this bring light and airiness into a space and to flip it switch or touch the touch screen and control your roof.
Michael Kay: And will it be - reason about for a shareholders to assume that, it will be say third or fourth quarter of 2015, when we’ll see the results in terms of fee income as the consequence of the increased volume with the different place of Mercedes Benz and the wider roofs and everything and, you think excellent will show up in the accounting?
Joseph Harary: If you make the assumption of S-Class high volume variant is coming out in the fourth quarter, you’d probably see the revenues from slightly come to us either in the beginning of the fourth quarter or somewhere in the third quarter. So you probably start to see the beginning of that and may be as soon as the third quarter but you never know.
Michael Kay: Okay. Thanks so much Joe and continue success.
Joseph Harary: Thanks a lot.
Operator: The next question comes from [Kenneth Errol], Private Investor. Please go ahead.
Unidentified Analyst: Just a quick one, can you tell us is DuPont still a licensee and so would you define them as an active one?
Joseph Harary: They are still a licensee and I don't view them as active right now. There are sponsors that exhibition, who knows.
Unidentified Analyst: Okay.
Joseph Harary: Maybe I will take some ideas.
Unidentified Analyst: That's it, thank you. Everything else keep doing, what you’re doing, you’re doing a great job, you and everybody else.
Joseph Harary: Thanks a lot Ken, pleasure to have you with us. I'd like to make some closing remarks, I think that was the last question that I see in the queue.
Operator: That is correct, that was the last question. Yes sir.
Joseph Harary: Okay, great. And if anyone finds that their questions haven't been answered to their satisfaction, just email us after the conference call and we'll do our best. So in closing I just want to say that, you put the switch or you touch your phone and as if by magic you control this into your glass. We all invested in Research Frontiers because we knew that this was special. We knew that there were large markets out there for a SmartGlass technology. We knew that this remarkable technology was beneficial to society and makes people safer, more comfortable and allows them to save energy. And we set out to make it work and then tell the world about it and we did. And we knew that the best way to experience is, was to see it and touch it. As recently as four short years ago, only a handful of people knew what this was or what it was like the press hit button and controllers into to their glass. As of last year, tens of thousands of people could enjoy this experience in their cost primarily but also in aircraft, boats, museums and in their homes and offices. And in 2015, a thousands times as many people, where tens of millions of people will have this opportunity. They will finally see what we all know, how smart their homes, offices and vehicles can be. I thank everyone for your support, your participation in our success, and in today’s conference call. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.